Operator: Thank you and welcome everyone to FormFactor's Third Quarter 2015 Earnings Conference Call. On today's call are Chief Executive Officer, Mike Slessor, and Chief Financial Officer, Mike Ludwig. Before we begin, also here is Jason Cohen, the company's General Counsel to remind you of some important information.
Jason Cohen: Thank you. Today the company will be discussing GAAP P&L results and some important non-GAAP results intended to supplement your understanding of the company's financials. Reconciliations of GAAP to non-GAAP measures and other financial information are available in our press release issued today and on the Investor Relations' section of our website. Today's discussion also contains forward-looking statements within the meaning of the Federal Securities Laws. The examples of such forward-looking statements include, projections of financial and business performance, future macroeconomic conditions, business momentum, business seasonality, the anticipated demand for our products, our future ability to produce and sell products, the development of future products and technologies, and the assumptions upon which such statements are based. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed during this call. Information on risk factors and uncertainties is contained in our most recent SEC filing on Form 10-K and in our other SEC filing available on the SEC's website at www.sec.gov and in our press release issued today. Forward-looking statements are made as of today October 28, 2015, and we assume no obligation to update them. With that we will now turn the call over to our CEO, Mike Slessor.
Mike Slessor: Good afternoon, everyone and thanks for joining us today. In the third quarter of 2015, FormFactor delivered a non-GAAP net profit and generated cash for the sixth consecutive quarter even in the face of some well publicized industry headwinds. At a revenue level approaching our financial model breakeven, we validated that model and demonstrated ongoing cost discipline. At the same time, we continued to invest in the key initiatives that would drive FormFactor's future share gains in the growing and Advanced Probe Card market. As we progress through the fourth quarter, we're experiencing stronger demands during what has historically been one of our weaker seasonal periods. Interestingly, this year's fourth quarter results were set against a backdrop of reduced overall capital equipment spending by our customers. FormFactor's current favorable situation is the result of both the design specific consumable nature of Probe Card demand as well as the market share gains resulting from our technology leadership and continuously improving operational execution. Our SoC Probe Card business was robust in the third quarter delivering sequential gains of a solid second quarter. This growth was driven primarily by supplying 16 nanometer mobile application processor projects in the Fabless/Foundry Ecosystem. This being continues at present and is now augmented by accelerating demands in our microprocessor Probe Card business as a key customer begins to ramp multiple new designs. As we described in detail on our last earnings call, introduction of new integrated circuit designs by our customers even on the same silicon node using the same capital equipment requires completely new sets of probe cards. In addition, the fine pitch copper pillar packages of these latest SoC devices require advanced probe architectures such as FormFactor's MEMs probe technology that are only available from a few suppliers with the scale and resources to productize and support these technologies. Although our visibility remains limited as usual, these two factors are enabling us to deliver strong SoC results. Consistent with many industry data points, our DRAM business was weaker in the third quarter when compared to the first two quarters of the year. We continued to supply Probe Cards for devices on leading edge nodes such as 20 nanometer and for leading edge designs such as DDR4 in both the server and mobile spaces. There is also some limited PC DRAM activity at present however it is a relatively small fraction of the overall business. Although that DRAM industry outlook for 2016 is uncertain, we are encouraged by our ongoing interactions with all three major DRAM manufacturers for articulating plans to make measured investments in both leading edge capacity and new designs. I'd like to take a moment to view our combined SoC and DRAM demand in the context of our third quarter financial results. For me it's clear that FormFactor's growth and diversification efforts over the past few years are providing broadened exposure to the overall semiconductor industry resulting in an expanded opportunity and revenue base from which to operate the business. Our Vector product represents an additional element of further growth and diversification enabling meaningful future share gains in the $200 million plus NAND Flash probe card market. We recently traversed a key internal product release milestone, and while we gradually ramp shipments, we are continuing to fortify our internal manufacturing processes to improve cost, lead-time and quality. At the same time, we are competing for multiple 3D NAND production designs at the [two customers] where we are qualified and expect to deliver $2 million to $3 million of incremental quarterly revenue from Vector in the first half of 2016. Finally, we continued to both buyback shares and pursue M&A opportunities. In our selection of M&A candidates, we remained committed to deploying our capital against attractive opportunities from both valuations and strategic perspectives. In particular, we are targeting acquisitions that we expect to be pro forma accretive to earnings per share in the first year after closing as well as to expand our addressable market, leverage our significant R&D and channel investments and create a long-term product and technology synergies. We'll now turn the call over to Mike Ludwig for details of our third quarter results and our fourth quarter guidance.
Mike Ludwig: Thank you Mike, and good afternoon. Overall the financial performance of the company in Q3 was better than the midpoint by Q3 guidance and slightly better than our communicated financial model or the revenue level achieved. As Mike mentioned with continued focus on execution and spending discipline, we generated our sixth consecutive quarter of positive non-GAAP earnings and positive cash flow. Revenues for Q3 of $65.9 million decreased $8 million or 11% compared to both the strong second quarter of 2015 and a strong third quarter of 2014. The decreased Q3 revenues compared to the second quarter were driven primarily by a decrease in our DRAM probe card revenues, resulting from a weak PC environment that began in Q2 and carried into Q3. SoC revenues in Q3 of $36.5 million increased $1.9 million or 5% compared to our second quarter. SoC revenues comprised 55% of our revenues in the third quarter. We achieved higher mobile processor revenues driven primarily by new design that resulted in higher overall SoC revenues in the quarter compared to Q2. Third quarter revenues for DRAM products were $27.5 million, a decrease of $7.8 million or 22% compared to the second quarter. DRAM revenues comprised 42% of our revenues in the quarter. The decline was primarily attributable to lower revenues from probe card serving the PC market. Flash revenues were $1.9 million for the third quarter, a decrease of $2.1 million in the second quarter. NOR Flash revenues were $1 million in the third quarter and NAND Flash revenues including our new Vector probe card architecture were $0.9 million in the quarter. Third quarter GAAP gross margin was $18.5 million or 28% of revenues compared to $23.3 million or 31.5% of revenues for the second quarter. GAAP gross margin expenses in Q3 included $0.8 million for stock based compensation and $2.8 million for the amortization of intangibles. On the non-GAAP gross margin for the third quarter was $22 million or 33.4% of revenues compared to $26.7 million or 36.1% of revenues for the second quarter. The decrease in the third quarter non-GAAP gross margin resulted from lower revenues which results in lower absorption of fixed cost and less favorable product compared to the second quarter. Our GAAP operating expenses were $21.8 million for the third quarter, a decrease of $0.8 million compared to Q2. GAAP Operating expenses in the third quarter included $2.3 million for stock based compensation and $0.7 million for amortization of intangible assets. Non-GAAP Operating expenses for the third quarter were $18.5 million, 28% of revenues, a decrease of $1.5 million compared to the second quarter. Variable compensation costs were lower in the third quarter due to reduced profitability. The tax provision in the third quarter was $0.2 million compared to sales tax provision of $24,000 in the second quarter. GAAP net loss was $2.5 million or $0.04 per share for the third quarter compared to GAAP net income of $0.8 million or $0.01 per fully diluted share for Q2. Non-GAAP net income was $3.3 million or $0.06 per fully diluted share for Q3 compared to $6.7 million or $0.11 per fully diluted share for Q2. Cash comprised of cash, short-term investments in restricted cash ended the third quarter at $184.3 million, $5.1 million higher than Q2. Excluding cash used for stock buybacks, the company generated $8.6 million of cash in the quarter. The company used $3.5 million to repurchase 473,000 shares in the third quarter. Here are some other financial details for the third quarter. Our depreciation and amortization in the third quarter was $6 million including $2.7 million for depreciation and $3.3 million for amortization of intangible assets. Our capital expenditures in Q3 were $2.4 million which brings our year-to-date expenditures to $6.7 million within our planned annual CapEx of 8 million to $10 million. Our stock based compensation for the third quarter was $3.1 million. With respect to the fourth quarter, we see a continued strong SoC environment. We expect fourth quarter revenues to be in the range of $68 million to $73 million. We anticipate a more favorable product mix for Q4 which benefit our margins. Therefore we expect the non-GAAP gross margin to be in the range of 34% to 37%. We expect non-GAAP fully diluted earnings be $0.07 to $0.12 per share. We expect cash flow to be positive $4 million to $7 million before the impact of stock repurchases. With that let's open the call for questions. Operator?
Operator: [Operator Instructions]. One moment for questions. And our first question comes from Tom Diffely of D.A. Davidson. Your line is now open. Please go ahead.
Tom Diffely: Yeah, good afternoon. So I guess first of all, getting into the business, you said that the DRAM business is somewhat tweaked right now that's PC driven. What do you see in terms of the conversions to the [2X node] as far as the driver over the next few quarters?
Mike Slessor: Certainly, when we look at the design activity and the projects that we're working on with the three major DRAM manufacturers, all of these things are pretty heavily biased towards 20 nanometer or what you want to call it [2i, 2z] nanometer, somewhere around the 20 nanometer node. Obviously, each of our customers are ramping those at different rates and on different timelines, but I would characterize that as where the majority of the activity is right now. There certainly is still some activity, for example reorders of existing designs on things like 25 nanometer and higher nodes, but certainly as we characterize in the prepared remarks a lot of the activity is at the leading edge whether it would be 20 nanometer per se or the DDR4 architectures that our customers are releasing.
Tom Diffely: Okay, thanks. And then when you look at the Vector business and the $2 million to $3 million a quarter of business you're projecting for first half of next year. Is that in addition to your other Flash business, the NOR business, and is that just appear that total?
Mike Slessor: That's correct. So incrementally, Vector and to be clear the expectation that we have is $2 million to $3 million of quarterly revenue achieved in the first half. Now the Vector product, if you recall, really has been engineered to serve mainstream NAND Flash wafer test controlling, and as a consequence it really is additive to the NOR Flash business we already have that we served with our Matrix architecture. For a variety of reasons NOR Flash turns out to be quite a bit different than NAND Flash [probing], so Vector really is specialized and targeted towards NAND flash and as a consequence, you can consider it to be additive to the to the NOR Flash business that continues to tick along quarter-after-quarter.
Tom Diffely: Okay. And is that $2 billion to $3 billion represent just one production customer at this point?
Mike Slessor: It probably is dominated by one production customer. There will be some contribution to that from the second production customer, but I think you can think about it as being fairly heavily tilted towards the single production customer on multiple 3D NAND designs.
Tom Diffely: Okay. And it sounds like over the next we're going to get a fifth major player on the NAND side. Any reason why over time, you wouldn't be able to get some shares at each of these players?
Mike Slessor: No, I have no fundamental reasons on it. As we discussed at a variety of times in the past, certainly we want to be able to deploy the Vector architecture broadly across the NAND Flash market opportunity, as we said about $200 million annual spend on NAND Flash probe cards. For customers today, obviously, a fifth one has announced its entry into the market, but we're certainly over the coming years going to be qualifying with each of those and pushing towards taking a significant share position in the NAND Flash probe card market commensurate with the share positioning we have in DRAM and SoC.
Tom Diffely: Okay. And after your initial work with the one main Flash customer or Vector customer, still the view that the margin structure on that product can be at or above corporate?
Mike Slessor: That's certainly our goal. As you can probably tell from my comments on ramping a gradually and investing in the manufacturing engineering to improve cost, lead-time and quality, we're very focused on making sure that we can achieve margin structures and gross margins that are helpful to the overall corporate financial results, but there's a lot of work going into that right now. It's essentially a problem of accumulating enough cycles of learning on different cards and different designs, so that we can continue to take cost out, take cycle time out and improve our internal [first stats] yields and quality, so that when we ramp in significant volume and achieve significant volumes with Vector then we do have a margin structure that is favorable to the overall P&L.
Tom Diffely: Okay. And then finally, when you look at the two main sizes of your business, the memory and the logic side, do you see any real seasonality going forward or is that do you believe going to be project based on a go forward basis?
Mike Slessor: I think there is two elements to this. There is certainly in some of the end-markets or some of the applications that get driven by different end-markets, some level of seasonality. If I look at -- there certainly still is a PC business or a PC driven business that seems to have calendar seasonality associated with it, where Q2 and Q3 are stronger quarters for us and Q1 and Q4 are weaker for us. As you can tell from this year's results and last year's results, there is also another set of seasonality and dynamics imposed on top of that, as you sort of note that these project based dynamics, and so if we're working on different chips that are aimed at different handset launches or different mobile device launches, those are going to superimposed with the regular calendar seasonality. And in the last two years, certainly that stilted things towards having relatively strong results in the fourth quarter. I think the other thing we see is that we do appear to be gaining some market share in various areas. And as I said in the prepared remarks, certainly our exposure across more customers and more end-market drivers helps us damp some of the calendar seasonality and the lumpiness of these project base timings that we have historically seen in the business.
Tom Diffely: Okay. And then maybe just one more, if you look at the total end-market exposure that you have, has the mobile consumer surpassed the PC as your biggest end-market?
Mike Slessor: I don't know that I could say that, the mobile market in general has surpassed everything associated with maybe not just PC but PC automotive industrial and some of the other segments. I would say that mobile applications are driving the largest part of our overall volume whether it would be in the SoC business or in the DRAM business. And we aggregate that together, I think you can make connections between most of that probe card demand and various mobility applications, whether that the application processors in the phones or tablet themselves, whether that the mobile DRAM or in some cases the server backbones that are driving all of the connectivity between these devices as well.
Tom Diffely: Okay. Well thank you.
Mike Slessor: Thanks Tom.
Operator: Thank you. [Operator Instructions]. Our next question comes from Patrick Ho of Stifel. Your line is now open. Please go ahead.
Patrick Ho: Thank you very much, and congrats on the nice quarter. Mike, I know looking ahead to 2016, I know if you don't want to get specific, but as you look at your different business segments and some of the opportunities going forward where do you see the I guess potential for largest revenue growth in 2016, is it going to be continue strengthen the SoC side or do you see new design-ins for DRAM both at I guess 20 nanometer and even some of the 1X design-ins that are probably going to start occurring?
Mike Slessor: So a great question Patrick, and one that as we're going through our 2016 planning cycle, it's certainly a topic of hard debate internally. I think the number of mixed signals coming out of the industry, make it a difficult question to answer definitively, but I certainly say, there are opportunities along both of those segments. DRAM now that we had exposure to all three customers and clearly at least two of those three customers are aggressively shrinking and pushing out new designs on a variety of advanced nodes and different flavors of advance nodes. There is opportunity there. I think the question associated with DRAM as you well know is what's the industry health and the investment profile is going to look like next year, but certainly there are some opportunities there. And given our broad participation in coverage across DRAM, I think we are in a good position to capitalize if that demand does occur. On the SoC side, I think there is an equally compelling set of opportunities for us to execute against. Again probably some uncertainty around end-market demand and how some of the different both mobile device launches and node shrinks at major customers proceed as we go through 2016, but again I would say that we are in a good position to capture the demand sort of no matter how those chips fall. Again going back to the prepared remarks that's what we've been trying to do and what we're continuing to try and do with Vector and NAND, we get ourselves in a position to capitalize on demand opportunities regardless of which way sort of the industry pendulum swings from a customer base or a technology base.
Patrick Ho: Great that's really helpful. Maybe just on the model and your cash flow generation which has seen a nice improvement obviously over the last several quarters, maybe Mike for you on this end. What are some of I guess the balance sheet leverage that you can do in terms of better inventory management [AR], things of nature that can even I guess enhance cash flow generation going forward?
Mike Ludwig: Yeah, I think you hit on the levers Patrick, right I mean for us, we place a high importance on our collection of receivables, our DSO, we had very good DSOs for this quarter, and certainly as you look at how we've generated cash flow over the last, as you mentioned, the last six quarters, we've done a very nice job of managing our collections on DSOs. Inventory, we certainly on the last two years have done a much better job from a planning perspective in terms of materials and managing materials that come in the doors, so we have lessened our charge for access on obsoletes, obsolete inventory, so we have just done a much better job and a much tighter job. And I think Mike mentioned just, the execution in the manufacturing organization as well as our leveraging of receivables and managing the DSOs, I think, have been probably two of the most significant items. And also I guess the last piece is again managing our CapEx, right, I mean, we have managed it, so think a little under $8 million a year ago will be somewhere between $8 million to $10 million this year, and again as we continue to grow, we're going to watch the CapEx line pretty closely. So I mean those are the three things that we've really done, Patrick, and we'll continue to do those.
Patrick Ho: Great, thank you very much.
Operator: Thank you. [Operator Instructions]. Our next question comes from Srini Sundar of Summit Research. Your line is now open. Please go ahead.
Srini Sundar: Hi guys, thanks for taking my call. My first question is if DRAM spending next year is indeed on the lower side. What steps are you taking to -- like what defensive steps are you taking to kind of rationalize reduce spending environment?
Mike Slessor: Yeah, there is a couple of elements in my view, Srini, to DRAM spending. And I want to come back to the theme that certainly most of the prevailing views in the industry right now are that DRAM capital equipment spending will be down in 2016. That again as you can see from our Q4 guidance doesn't necessarily correlate at least in a one-to-one manner to probe card spending. And one of the things we're certainly seeing is that customers although their capital spending will be down, they are still trying to aggressively pursue different design slots with different types of memories, whether it would be different capacities, different flavors of DDR4 and low-power DDR4, and that's driving continued design activity, as I said in the prepared remarks, leave us relatively positive for 2016. Having said that, if there is even in the consumables end or the design-driven end of the business a significant downturn in DRAM spending, I think we've got some levers to pull with regard to continued cost control. And again if you look at how we architected the operations of the company now, we're able to use the operational assets in different ways to do different things and serve different markets. So if I back up three or four years, if DRAM spending went soft on probe cards, it was a very dire situation for FormFactor, and we have essentially no actions we could take other than to just downsize and cut costs. In this case, sort of mirroring back to Patrick's question, there's a set of opportunities that we have, now if all of them don't materialize, then yes we have to cut costs, but I think there is enough certainty or enough confidence [randomly] some of the opportunities coming to fruition, so we're able to shift resources and spend around to address these different opportunities.
Srini Sundar: Great. One follow-up question, in your prepared remarks, you talked about 16 nanometer application processor. Am I hearing it right or were you referring to 40 nanometers?
Mike Slessor: Well, the node, I think, is kind of blend, let's call it the foundry [indiscernible] node.
Srini Sundar: And one last question, given the M&A environment in which we find [outsourcing], is there any change in your business prospects as a result of that number one. Number two, are you yourself going to be getting into the M&A frenzy?
Mike Ludwig: I think a great question on two fronts. So I'll interpret the first part of the question as the consolidation of our customers and any impact that maybe having on us. I think It's a little early to tell given that most of these deals are just in the announcement stages, and a lot of them at least from the frenzy pace of things have not yet closed or reached to a stage where integration of manufacturing facilities has taken place. I do think in a couple of cases as we look forward and maybe speculate a little on how that will go, I think there is one common theme where FormFactor certainly stands the benefit. As our customers get bigger and consolidate around fewer manufacturing facilities, fewer operational organizations, we've certainly seen them start to bias their activities in spends and interactions with suppliers who are larger, have more scale and are able to deliver, let's call it consistently with high quality and support a much larger customer and operation. So I think as displayed out, I think as the leader in probe cards, I think FormFactor certainly stands the benefit from that trend, a little early to see any results. I think that then goes to the second part of your question which is, are we also participants in this overall M&A, we've been quite active in, let's call it, pursuing a variety of targets in the M&A space. Again the theme associated with scale and being able to serve a customer base which is consolidating and getting larger is something that we understand very clearly and at least attempting to act accordingly with now $185 million in cash on the balance sheet and no debt, we'd likely be acquirers in this space and continue to grow our scale and footprint as the industry matures and consolidates around us both from a customer base and a supplier base.
Srini Sundar: Thank you so much, great answers.
Operator: Thank you. And our next question comes from Edwin Mok of Needham & Company. Your line is now open. Please go ahead.
Edwin Mok: As I'm coming for 10% customer you had for the quarter?
Mike Slessor: You mean 10% customer, we have 3% this quarter.
Edwin Mok: Okay that's helpful. And then on the DRAM side, there was a large customer that you have gained share and successfully win that business back. Do you quantify Mike where are you on that or in the third inning of ramp up or sixth inning of ramp up any way you can quantify that and when do you see get along with that normalized I guess your position in that customer?
Mike Slessor: So for giving you the inning analogy, we won't talk about last night's gift, several of us going to hang up, we'll talk about the regular nine-inning game. I characterize it, you know, kind in the middle to late innings, call it the fifth to sixth. We have gained significant share there. As you're able to tell from our previous 10-Q and 10-Q that will go out later today, we are continuing to gain share there. I think there's more that we had, but also as you say, it's in the process of normalizing and it's not going to go long forever. So I characterize it as in the mid to late inning where we are now a significant part of the supply chains of all three major DRAM manufacturers and with essentially one competitor MJC in that market, I think we've figured out how does normalize share compete effectively, drive our cost down, drive our customers cost down and work our way forward, again a normalized chair situation.
Edwin Mok: Regarding 20 nanometer converts that you talked about DDR, do you think -- how far you think we are in those conversions and it seems -- I have a question around the midpoint of that conversion, am I correct on that or any way you can quantify that?
Mike Slessor: The baseball game analogy again. They are two different transitions and clearly they're couple, but the transition to 20 nanometer is one associated with silicon node, the transition to DDR4 is another around memory architectures. If we think about the different customers and where they are, they are each in different places, but if you take the industry in aggregate, it feels like it's probably halfway there, so I call this truly the middle innings, the fourth or fifth somewhere in there associated with both of those transitions, and that's probably reflective of our DRAM revenue mix as well whether it would be the 20 nanometer projects or things associated with DDR4 or low-power DDR4.
Edwin Mok: And you have mentioned it on all of your questions, but industrial growth is coming from SoC, and I have a follow-up question on SoC.
Mike Slessor: I'm sorry, ask it again, please.
Edwin Mok: Your 3Q to 4Q guidance on the sequential growth, is that growth coming from SoC?
Mike Slessor: Yeah, so on the Q4 guidance what you're going to see is generally the biggest increase is going to be SoC, DRAM probably be flat to slightly down and Flash probably slightly up from kind of where we in Q3.
Edwin Mok: That's helpful. And then just around SoC, I'm trying to understand beyond the one last customer and you guys also have in all foundries, that's where you guys are working with, they all have their foundries or factories for their people. Do you see some broadening of demand into not the most at handset side process, the 20 nanometer process or even higher node because we're seeing more of those distributors loyalty as this trend is driving in there. Are you seeing any demand coming from those non-leading node from other maybe not one to two foundries?
Mike Slessor: There is a couple elements to the string. One is you referred to use certainly the leading-edge node and advanced fabless customers utilizing that capacity as well as through the large IBM that's pushing that platform forward as well. There is also as you inferred in your question some call it secondary demand associated with another set of customers who are choosing to stay on call it the 28 nanometer foundry node that are moving to advanced packages with fine pitch copper pillars. We certainly saw some of that earlier in the year and it's a trend that seems to be continuing as things pushed forward, and we're working very hard again around the theme of broadening and diversifying our customer base and exposure to make sure we're becoming the supplier of choice to some of these other fabless customers as well even if they choose to stay on 28 nanometer for maybe a year which sounds like it may be a very viable option for several people, they then resort to advanced packaging which moves them towards the kind of probe cards where FormFactor has a pretty strong leadership position.
Edwin Mok: Great, thanks.
Operator: [Operator Instructions]. Our next question comes from Craig Alice of B. Reily. Your line is now open. Please go ahead.
[Jamison]: Hey guys this is Jemison calling in for Craig. Congratulations and thanks for taking the call. So I guess one thing I was hoping to get from you guys is that if you guys can maybe frame SoC opportunity heading into 2016. I know you're saying it's going to be a pretty strong quarter, this coming quarter and after Teradyne, they said that they're expecting growth in '16, but I was wondering if guys may feel to quantify or just provide I guess some additional thoughts on that.
Mike Slessor: I think we want to confer to quantifying given the remarks we made earlier around certainly the opportunities are there, but the uncertainties on then materializing whether it's a 10 nanometer ramped at large IBM or some of the dynamics that Teradyne referred to yesterday, whether it's our visibility or our confidence and certainty, I don't think we're in a position to quantify it at this point. Having said that I do think there's a spectrum of opportunities in the SOC space that are pretty interesting that do offer the possibility of 2016 being quite a bit stronger than 2015. I think various things have to happen for those opportunities to materialize whether it be 10 nanometer ramping hard and being successful in pushing to market or some of the mobile application processors indeed requiring the test time increases that are being forecasted or being speculated upon. At this point I don't think we're in a position to say anything other than we feel like we've put ourselves in a good position to capitalize on a variety those opportunities, certainly SoC appears to have several of those opportunities in 2016 that would enable us to grow our SoC business on a year-over-year basis.
[Jamison]: Thanks. Secondly you may be talking about implications of Cross Point. I don't think I've heard much of that from you guys. Any insight would be helpful.
Mike Slessor: This is the Cross Point memory, the Intel and Micron announced a few weeks back now and maybe a month back.
[Jamison]: Yeah.
Mike Slessor: It's similar to the situation that -- people have a lot of questions associated with 3D NAND and what changes it would have on the probe and test environment, and you know -- although I'd like to be able to say something different, it doesn't really have a fundamental difference for the following reasons. For the Cross Point or any other alternative memory technology to be successful in the market, it's got have substantially the same interfaces to the outside world. They maybe a little different in terms of clock rate and the various protocols involved, but they are not going to be vastly different. And so from a technical requirement standpoint, we don't see it being substantially different than some of the more mainstream memory technologies like DRAM or Flash that is aspiring to replace. From a demand perspective, I think any new memory technology is a good thing. 3D NAND I don't think it's any steeper to the industry as people ramp it, their test times are longer because they have defect modes to go both the [tact and then go sol], so that drives that demand for test. And I would anticipate that being if indeed the Cross Point becomes a significant memory technology in the market and I think that's still an open question, but if it becomes a significant memory technology in the market, I think we'll see some increased demand associated with everything in and around wafer test, whether the probe cards testers or probers.
[Jamison]: Great. And lastly I was wondering if you could give a little bit insight into have you seen any stabilization in PC heading into Q4 heading into Q4?
Mike Slessor: Heading into Q4?
[Jamison]: Yeah, heading into Q4, I don't know exactly, have you seen any stabilization within PC end-market?
Mike Slessor: Well, so for us the PC end-market read through is a bit tricky. We have to make a couple of assumptions on what we're inferring about the parts we're testing. If it's in our microprocessor business, we participate in a wide variety of microprocessor test ranging from the high-end server then go through datacenter all the way down through some of the simpler client microprocessor chips. And so that one same story in DRAM, you can infer a little bit associated with the capacity of the chip and the data rate, but you are making some assumptions. It does feel to us on that read through like things have stabilized, but as we said in the prepared remarks there certainly not any robustness or strength there even, that's probably the best read I can offer you.
[Jamison]: Okay great thanks guys I appreciate it.
Mike Slessor: Thanks.
Operator: Thank you. And if we have no further questions. I like to turn the conference back to Mike Slessor for any closing remarks.
Mike Slessor: Well, first of all, thank you all for your patience in sticking with us well. Several of our suppliers result in technical difficulties, we appreciate it. Thanks again for joining today. At the relatively lower revenue levels of the third quarter, we're pleased to have delivered again another profitable quarter while maintaining our investments in FormFactor's future growth. We're expecting deliver strong results in the current quarter despite overall semiconductor CapEx trends to the contrary and are excited about our future as we further build and broaden our presence in the semiconductor supply chain. Thanks again.